Operator: Good day, ladies and gentlemen, and welcome to the SS&C Technologies First Quarter 2015 Earnings Call. At this time, all participants have been placed on mute. Later, we will have a question-and-answer session, and the instructions will follow at that time. This call is being recorded to note. I'd now like to introduce your first speaker for today's call, Ms. Justine Stone. Ma'am, please begin.
Justine Stone - Investor Relations Coordinator: Hi, everyone, and thank you for joining us for our first quarter 2015 earnings call. I'm Justine Stone, Investor Relations for SS&C Technologies. With me today is Bill Stone, Chairman and Chief Executive Officer; Norm Boulanger, President and Chief Operating Officer; Rahul Kanwar, Senior Vice President and Managing Director of our Alternative Assets business ; and Patrick Pedonti, Chief Financial Officer. Before we get started, we need to review the Safe Harbor statement. Please note that various remarks we make today about future expectations, plans and prospects including the financial outlook we provide constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section from most recent Annual Report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, April 27, 2015. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. During today's call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today's earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I'll now turn the call over to Bill.
William C. Stone - Chairman & Chief Executive Officer: Thanks, Justine. 2015 has started with some momentum. We closed a number of large deals in the first quarter, replenished our pipeline, worked to integrate DST Global Solutions and since our Advent Software announcement in February, we have received positive feedback from our customers and shareholders. We're pushing to close this acquisition, and we expect it be finalized in late Q2 or Q3. Q1 showed good results. Our adjusted revenue increased 10.9% and our adjusted net income increased 9.2% to $52.7 million. SS&C has always competed in one business, on our technology and expertise. We are now a larger firm with considerable financial and infrastructure resources. Our biggest asset though remains the intellectual firepower of our 4,700 employees. Regarding the Advent acquisition, as reported in our press release issued last week, both Advent and SS&C received request for additional information from the United States Department of Justice on April 23. SS&C and Advent expect to promptly respond to these requests and to continue to work closely and cooperatively with the DOJ as it conducts its review of the pending transaction, which remains subject to other customary closing conditions. SS&C and Advent expect closing of this transaction to occur in the second quarter or third quarter of 2015. And now, I'll turn it over to Norm.
Normand A. Boulanger - President, Chief Operating Officer & Director: SS&C had another solid performance this quarter. We have already implemented significant synergies over $11 million on the annualized basis in cost savings from our acquisition of DST Global Solutions. We expect to achieve more cost synergies in part through office consolidations over the next several quarters. There's been positive feedback from numerous client meetings about the acquisition, and we are seeing a natural development of cross-selling and packaging of DST and SS&C solutions. One large high portfolio of client recently selected Pages, SS&C's industry-leading reporting solution, to automate the production, communication for fund managers and super funds. Another key win is with an existing HiPortfolio and Anova client who's moving to a hosted environment in our data centers. These are just two examples of the industry shifting towards holistic service providers with outsourcing capabilities. We've also experienced continued success with our focus groups, including real estate investment trust servicing group, regulatory solutions group, and a newly formed group concentrating on hybrid fund structures. These complex firms require deep accounting expertise and robust technology in order to achieve operational stability and efficiency. By creating these focus groups and regularly adding new services to address our client's pain points (05:11), SS&C is able to provide premium service to the financial services industry. Recently, SS&C also launched a new investment accounting and reporting service for insurance companies in support of non-traditional asset classes. Insurers have increased investments in syndicated bank loans and Schedule BA assets, both of which require complex accounting and reporting often not supported by insurance company legacy systems. This new service enables insurers to automate accounting and web-based reporting of these investments. Now, I'd like to review some of the key deals for Q1. A multinational Japanese bank, new to the commercial paper market, chose SS&C's web-based Global Debt Manager; a $10 billion registered investment adviser extended their PORTIA license and added a multi-currency module to support their newly acquired international fund; an $8 billion high-yield institutional manager chose SS&C's hosting services to host PORTIA operations due to cost reductions and risk reduction this model will produce; a large Canadian bank, an existing HiPortfolio client, signed a long-term deal for our enterprise market data solution; and last, a business loan company which focuses on small business financing selected SS&C's reconciliation tool for its robust data and data source agnostic matching engine and workflow manager. I'll now turn it over to Rahul to discuss the alternatives business.
Rahul Kanwar - Senior Vice President & Managing Director, Alternative Assets, SS&C Technologies Holdings, Inc.: Thanks, Norm. SS&C's alternatives business saw a 8.7% increase in revenue for Q1 2015, compared to Q1 2014. We won business from both startups and multibillion dollar firms, with opportunities to deepen the relationship in future quarters. Pipeline remains healthy and the sales teams are busy. In March, SS&C announced a new focus group to support fund administration accounting and reporting for hybrid fund structures. Industry continues to witness the conversions of the traditionally separate asset classes of hedge funds and private equity style closed-end funds; and SS&C's new service will address the administrative and operational complexities inherent in these hybrid structures. SS&C has long serviced such complex funds and has automated the accounting rules, fee parameters and various other highly technical features of these funds. Formalizing our service group will allow us to better service this universe of funds. We had a strong start in Q1. Key deals include the following: a large institution converted from their legacy in-house solution to SS&C fund administration for over 60 funds, they liked our CPO-PQR solution and our comprehensive tax capability; a London-based global macro manager converted to SS&C GlobeOp and included risk and regulatory reporting with their service package; three large firms converted to SS&C GlobeOp from a competitor looking for a more stable, technology-driven service; an additional mandate from an existing client, a hedge fund reinsurer selected SS&C GlobeOp; $1 billion newly launched hedge fund impressed with our technology and regulatory reporting capabilities selected SS&C as their administrator. I will now turn it over to Patrick to take you through the financials.
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: Thanks, Rahul. Results for the first quarter of 2015 are GAAP revenue of $205.7 million, GAAP net income of $26.2 million, and diluted EPS of $0.30. Adjusted revenue was $206.1 million excluding the adjustment for the acquired deferred revenue in the DST acquisition. Adjusted revenue increased $20.3 million or 10.9% in Q1. Foreign exchange had a negative impact of $3.2 million or 1.7% in the quarter. Adjusted operating income was $77.4 million, an increase of $4.8 million or 6.6% from the first quarter of 2014. Operating margins decreased to 37.5% from 39.1% in Q1 2014. The DST business negatively impacted margins in the first quarter, but we implemented, as Norm said, $1.2 million of cost reductions in that quarter. We received about $1 million of that benefit in Q1. As a result of these reductions, we expect margins to improve for the remainder of the year. The GlobeOp cost synergies through the first quarter have reached about $30 million. Adjusted EBITDA was $81.3 or 39.4% of revenue in Q1. Net interest expense for the first quarter was $5.6 million and includes $1.4 million of non-cash amortized financing costs and OID. Interest expense decreased due to the $256 million of debt paydown we've made since the fourth quarter of 2013. We recorded a GAAP tax provision of $9.8 million or 27% of pre-tax income, and we expect the full rate for the year to be approximately 28%. Adjusted net income was $52.7 million, and adjusted diluted EPS was $0.60. The adjusted net income excludes $22.2 million of amortization of intangible assets, $4.1 million of stock-based comp, $1.4 million of non-cash debt issuance costs, $4.7 million of severance pay related to the DST cost reduction, $2.7 million of deal cost for the pending Advent acquisition, $400,000 of purchase accounting adjustment, which is mostly for the revenue, and $1.7 million of unusual losses mostly related to FX translation of certain balance sheet items. And the effective tax rate we use for adjusted net income was 28%. On the balance sheet and cash flow for the quarter, we ended March 31 with $88.3 million of cash and $601 million of gross debt for a net debt position of $512.7 million. Operating cash flow was $31.2 million, a $7.4 million decrease or 19% over 2014. Cash flow was impacted by higher DSO and the severance cost related to the DST business cost reductions. For the quarter, we paid down $44 million of debt. We used $3.2 million for capital expenditures and capitalized software, which is about $1.5 million of revenue, but we would expect that to increase over the remaining quarters of the year and be more in the range of about 2.5% of revenue. We've paid $9.4 million of cash taxes compared to $6.2 million in the first quarter of 2014. Accounts receivable DSO for the quarter was 45 days compared to 42 days as of March 2014, and this impacted cash flow by about $12 million. We expect that DSO will drop over the next few quarters. In financing activity, we recorded the proceeds of option exercises of $4.7 million and a tax benefit related to those exercises of $2.8 million. Our LTM EBITDA, which is used for covenant compliance and includes acquisitions as if owned for the full period, was $346.6 million as of March and includes $21 million of acquired EBITDA and cost savings related to DST acquisition. And based on a net debt of $512.7 million, our leverage ratio was 1.5x at the end of March. For outlook for the second quarter and the remainder of the year, for the second quarter we currently expect revenue to be in the range $209 million to $215 million, adjusted net income to be between $55.5 million and $58 million and diluted shares in the range of 88.9 million to 89.3 million. We are now expecting a higher negative impact to the strong dollar against both the Canadian and the European currencies. We expect adjusted operating margins to improve as we get the full benefit of the DST cost reductions in the second quarter. Our current expectation for the full year is revenue in the range of $846 million to $862 million, which gives us a growth of about 10% to 12.2% for the full year. Adjusted net income of $228.2 million to $236.6 million and diluted shares increasing approximately 2% to a range of $89 million to $89.4 million. Now we expect the effective tax rate to remain at 28% for the full year. On a full-year basis, we expect cash from operating income to be in the range of $260 million to $275 million and capital expenditures to be in the range of 2.4% to 2.8% of revenue. And excluding any one-time items, we expect tax payments to increase about $20 million to $30 million in 2015 compared to 2014. And now, I'll turn it over to Bill for a final comment.
William C. Stone - Chairman & Chief Executive Officer: Thanks, Patrick, and I do believe that we have implemented $11.2 million in cost reductions at DST.
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: That's right.
William C. Stone - Chairman & Chief Executive Officer: And we picked up $1 million of that in the first quarter.
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: We picked up a $1 million of that in the first quarter.
William C. Stone - Chairman & Chief Executive Officer: Okay. So we're pretty pleased with our performance this quarter and believe the next three quarters will be pretty transformational for our business and our customers. We have a long history of successful acquisition and just last week was the 10th anniversary of our acquisition of Financial Models Company. Financial Models is a publicly traded company up in Toronto, and it was our first public company that we had acquired. Financial Models software solutions combined with our software has really created a very strong business. We were able to raise their revenues by over 50% and significantly increased their operating margins. It's just one of the 40 acquisitions where we have integrated since 1995. We're excited to continue the track record with DST, and other potential acquisitions that we close in the future. And with that, we'll turn over to questions.
Operator: Thank you. Our first question comes from the line of Mayank Tandon with Needham & Company. Your line is now open. Your question, please.
Mayank Tandon - Needham & Co. LLC: Thank you. Good evening. Patrick, just in terms of numbers, could you break down what the organic growth was in the quarter and then the contribution from DST? And are you still assuming the same contribution from DST for the entire year? And then also what the constant currency numbers were?
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: Well, the DST acquisition contributed about $14 million in the quarter and if you exclude FX and the DST acquisition, organic was about 5.1% in the quarter. We've always said we expect the DST acquisition to be about somewhere around $60 million on an annual basis in the first year.
Mayank Tandon - Needham & Co. LLC: Is the revision to the revenue range entirely FX related then or are there any impact to the core business?
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: It's really FX related. We had $3.2 million of FX impact on revenue in Q1. So if you do the constant dollar right, it would take the $206.1 plus the $3.2 million, that would give you this constant dollar comparison to Q1 2014. Yeah. So the FX is a lot higher and looks like potentially could continue longer than we had originally planned.
Mayank Tandon - Needham & Co. LLC: Is that the same factor that is also driving the impact on EBITDA and net income in terms of the drag it being FX related?
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: Well, we do get an FX benefit on some expenses mainly based in the UK, Europe, and Canada. So we didn't have a large impact on EBITDA or net income. I think the EBITDA impact of FX was about $400,000, $500,000 due to FX.
Mayank Tandon - Needham & Co. LLC: Is that negative or positive, sorry?
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: Negative, negative.
Mayank Tandon - Needham & Co. LLC: Okay. Great – excuse me. And then just some questions for Bill and Rahul in terms of the demand environment. The big deals that you won on the fund administration side; could you just give us a sense of the competitive landscape? What your win rates were like on these big deals? And then also maybe a touch on any regulatory drivers that could be a tailwind or headwind in 2015?
William C. Stone - Chairman & Chief Executive Officer: Rahul, why don't I take a little bit of that and then you kind of comment?
Rahul Kanwar - Senior Vice President & Managing Director, Alternative Assets, SS&C Technologies Holdings, Inc.: Okay.
William C. Stone - Chairman & Chief Executive Officer: Basically, we've won several pretty large deals that – the usual suspects are who we compete against, which would be CITCO, State Street, HedgeServ, and Bank of New York, are probably the primary ones that we compete against. Northern Trust has gotten a little tougher in the last couple of quarters; and Wells Fargo as well. But it's the same competitive landscape. We see a lot of demand in the fund administration business both from private equity, fund of funds and hedge funds. As you know, Mayank, the only places where you're finding any new formation of firms is either in fund or in registered investment advisors. There's basically no new banks, no new insurance companies, no new mutual fund complexes or anything along those lines. So we think we have a strong position. We think we can continue to execute; and I think it's something where we're reasonably confident in what we have to offer. Rahul?
Rahul Kanwar - Senior Vice President & Managing Director, Alternative Assets, SS&C Technologies Holdings, Inc.: Bill, I think just on the last part of the question, what regulatory is doing for us is it's driving both the market for stand-alone regulatory services. So we continue to add products to – that we can use to help fund managers comply with the increasing regulation that they're facing. And in recent quarters, in particular in Europe, there has been more demand for things like Annex IV and AMIR (20:53), et cetera. So that's good on its own and then it's also great because it introduces us to new firms that then get to see our capabilities and hopefully leads to further opportunities down the road.
Mayank Tandon - Needham & Co. LLC: Great, thank you. And just one final question, Bill, going back to the GlobeOp deal when you did it. I think it did put a little pressure on management bandwidth, and it created some softness early in the process around deal wins. Do you anticipate just given the size of the Advent deal that there may be some impact in terms of deal signings in the middle of the year as you go about completing the deal and integrating the transaction?
William C. Stone - Chairman & Chief Executive Officer: Well, I wouldn't say that the size of Advent is that much of a drag, but the size of the Department of Justice is a little bit of a drag. So we're doing all we can to cooperate and deliver a forest worth of information. And so that's taken some of our time; and I'm sure it's taken some of the management teams at Advent's time, and management matters. And so, if we have to spend time here that your conclusion is not unreasonable. At the same time, right, I mean, we did $206.1 million in revenue. And if you add the FX back, that's $209.3 million; and that's up from $185 million last year, and that's $24 million, I think. So we think that we have a strong business. We continue to drive margins, $11.2 million worth of cost synergies in the first three months, three-and-a-half months of owning DST has kind of taken their EBITDA margins from middle teens to, I think, about low-30%s. And I think we think we can drive it higher than that by the end of the year. So we're still executing. We'll continue to execute. We'll get through the DOJ, we believe, and bring Advent into the fold; and then we'll execute there, and so I'm optimistic.
Mayank Tandon - Needham & Co. LLC: Great. Appreciate the color. Thank you.
Operator: Thank you. Our next question comes from the line of Brad Zelnick with Jefferies. Your line is now open. You question, please.
Brad Zelnick - Jefferies LLC: Great. Thanks so much for taking my question. Bill, I know you're probably limited in what you can tell us, but I was hoping you can give us some insight into what particularly is delaying the approval from the DOJ, perhaps what kind of information is being requested? And if you can comment whether the inquiries are horizontal or vertical in nature. And you also mentioned in your remarks about expecting to respond properly. If you can give us anymore granularity on that, that'd be helpful, too.
William C. Stone - Chairman & Chief Executive Officer: Well, again, as you all know, Brad, we're doing everything that we're being asked. And most of this has to do with our position as a large fund administrator and becoming the owners of the technology and making sure the customers are comfortable that we're going to continue to treat them as customers and clients and not use our position in any non or anti-competitive way. And we have a history of 40 acquisitions and we're bright enough to recognize that growth is pretty important in our business and that means you have to have happy customers that continue to buy from you, and we believe that our ability to compete is partially our technology but also a lot us as a firm, how we train, who we hire, how we pay and all those kinds of things are certainly in our view the lion's share of the value proposition that we bring to our customers. So, yeah, we'll own Advent Geneva and we'll own Advent Axys and we'll own Advent APX and we'll own Advent Moxy and we will try to sell it to everybody on earth. And we will still think that we can run it better than anybody else. And we think that we will be upgrading our technology to stay on the latest releases, and we will do that more efficiently than our competitors because it's our business and so that's kind of what's going on. And the DOJ has a job to do, and we recognize that and respect it, and we're going to get through this as promptly as we can.
Brad Zelnick - Jefferies LLC: That's helpful. So it sounds like if there are concerns they're more vertical in nature, which would to us make it seem that you'd be able to work through them but I appreciate – and we agree that you've got a fantastic track record and you're optimistic to get the deal done, but how should we think about capital allocation should it not happen?
William C. Stone - Chairman & Chief Executive Officer: I mean, hey, Advent is an attractive asset to us and we believe it will happen, right. So, capital allocation will remain the same, actually even if Advent happens or doesn't happen, we'll pay down debt as fast as we can and we'll find other acquisitions that we can do to add to our repertoire of capability and drive margins and cash flow and then that's the formula that's worked for us for the last 20 years, 30 years, and I don't see us moving away from it. There's a lot of great assets for sale, and we think they'll continue to be.
Brad Zelnick - Jefferies LLC: Appreciate it. And just if I could get one more for Patrick, appreciating the commentary about the impact of FX year-on-year, if I look at foreign currencies that you have exposure to since you last reported, the Canadian dollar actually strengthened the pound is roughly flat, the Aussie dollar strengthened a bit. So, sequentially, I guess I'm just a little bit confused as it relates to the full-year guide why that would be due to FX.
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: Well, I'm really not in the business of predicting what FX is going to be in Q3 or Q4, but I'm assuming it's going to stay around where it's at and where it's been in Q1, that's what we're assuming right now. Now, it might get better. It might get worse, but we're assuming it's going to be around where it was in Q1 for the remainder of the year.
Brad Zelnick - Jefferies LLC: Okay. Thanks for taking my questions.
Operator: Thank you. Our next question comes from the line of Chris Shutler with William Blair. Your line is now open. Your question, please.
Christopher Shutler - William Blair & Co. LLC: Hi, guys, good afternoon. Just wondering on the organic growth side, Patrick, I think you noted that was about 5.1% in the quarter, that looks a little bit slower than the kind of the 6% or 7% range you were in the back half of last year, I believe, so maybe just talk about what drove that slowdown.
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: I think like Rahul said we had pretty good growth in our fund administration business growing 8.7% in our alternatives business, and we really didn't get a whole lot of growth in some of our other businesses during the quarter.
Normand A. Boulanger - President, Chief Operating Officer & Director: The license business in particular was a little softer than we had hoped.
Christopher Shutler - William Blair & Co. LLC: Okay. Was there any increase in customer attrition or anything like that?
William C. Stone - Chairman & Chief Executive Officer: We didn't have – we were still in our historical range, but we may not have been, like normally we're 93% to 96% (29:09), but we might have been towards the lower end of that rather the higher end. But it hasn't been anything unexpected. I think a couple of people might have – that we have known we're going to leave our product suite that may have gotten off of it a quarter early.
Christopher Shutler - William Blair & Co. LLC: Okay, got you. And then on the cost synergies just want to clarify. So the $11.2 million for DST is that – should we view that as kind of the total amount that you expect to get from DST over time, or is there a potential for that number to go higher and so it just – how should we think about the timeframe there?
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: We've said that in the first 12 months, we can probably reach a run-rate of about $15 million to $17 million.
Christopher Shutler - William Blair & Co. LLC: In the first how many months, Patrick, I'm sorry?
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: After the first 12 months.
Christopher Shutler - William Blair & Co. LLC: Okay, got you.
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: So we did – in Q1 we got to $11.2 million to with some staff reductions and we've got maybe another $1 million or $1.5 million in expense reductions from where they were running before, but our overall target still is $15 million to $17 million.
Christopher Shutler - William Blair & Co. LLC: All right, great. And then just one last one, a little bit more of a strategic question. Bill, another top 10 administrator recently announced they're going to be looking to exit that business, just curious to what extent if at all you're seeing any benefits from that announcement in your pipeline or if it's just too early?
William C. Stone - Chairman & Chief Executive Officer: Well, I take it you're talking about Citi Holdings and the Bisys business they bought a few years ago. Well, what happens is that it's a frenzy, right, all of the other fund administrators go after all of their clients as fast as we can and it's like 25 administrators or 30 administrators all crashing into a three-lane highway, right. So we do have a number of opportunities and it's something where – when there's going to be change people start to look and we think there's a lot of opportunity for us and we hope to report about it in the next couple of quarters.
Christopher Shutler - William Blair & Co. LLC: All right, thank you.
Operator: Thank you. Our next question comes from the line Sterling Auty with JPMorgan. Your line is now open. Your question, please.
Jackson E. Ader - JPMorgan Securities LLC: Hey, guys. This is Jackson Ader on for Sterling. Just a quick question from us. Just wanted to double-check, Patrick, that none of the full-year revenue guidance has anything to do with now a little bit of pushback from the DOJ?
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: No.
Jackson E. Ader - JPMorgan Securities LLC: And then, on the day sales increasing from 42 days to 45 days this year compared to last year, anymore color you guys can provide on that? I think that was really the only thing we saw in the cash flow that was a little different year-over-year.
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: Yeah, I mean, I think if you look at our historical DSO over the last couple, three years, we were 42 days, which is what we were around December 2013 – December 2014. It's pretty much the lowest we've ever been. I mean, we had really strong cash flow if you look at Q4 2014. We're disappointed it's up to 45 days as of March, but Q1 has a couple of items that affects you. There's a lot of maintenance billings in the first quarter and those can impact DSO if you don't collect them by the end of March. And then, the other thing is the DST acquisition accounts receivable were much higher than where we would normally run traditionally; and we expect that we have to do some work over the next couple of quarters on setting up our procedures to collect the DST accounts receivable. So I think we'll get down somewhere in the 43-day plus or minus range.
Jackson E. Ader - JPMorgan Securities LLC: Okay, great. That's helpful. Thanks.
Operator: Thank you. Our next question comes from the line of Rohit Sahni with Harbor Spring. Your line is now open. Your question, please.
Rohit R. Sahni - Harbor Spring Capital LLC: Hey, guys. I had a couple of quick questions. I think last quarter your margins were kind of in the 42%-ish percent range as adjusted EBITDA; and then this quarter, obviously lower due to DST, around 39.5%. If you factor in the synergy guidance you've given us for DST and assuming that plays out over the course of the next 12 months, do you think it's fair to expect total company margins getting back to the 42% or low-40%s level, given what we expect to see with DST?
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: We do. Once we have the $15 million or so of synergies implemented at the DST acquisition that would put that business near 40% margins, operating margins. And the rest of our business in Q1, if you take out DST, was running at our traditional higher operating margins.
Rohit R. Sahni - Harbor Spring Capital LLC: Got it. And then second question, obviously, you will be very busy with DST and the upcoming Advent acquisition, but should we assume that now that you know you have Advent to work with and deal with that your activity on the acquisition side will be more muted, i.e., you're not going to be looking or keeping your eyes open, or is it fair to say you'll keep your eyes open regardless because I know you've always had an open eye on what's out there. How do we think about that?
William C. Stone - Chairman & Chief Executive Officer: Well, I think for sure we will keep an open eye and keep looking and be active in the market. Whether or not we're able to close something of significant size will be dictated on how fast we can pay down the debt and how fast we can grow our earnings, so that we get some leverage capability. But I think we will generate a lot of cash. I think we will pay down more debt. I think we're going to pay down another $15 million this week even. And so, SS&C pays down debt, right. I mean, that's what we do. And we generate returns for our shareholders, and we have high expectations of our people; and I don't think that's going to change. And one of the things that you have to do is you have to go out and buy firms for the new blood that the intellectual capabilities of those people bring and then also the ability to get technology that is proven, that works, that customers use on a day-to-day basis. And I think that's something that we've done a pretty good job with. And we're excited about what we're going to do over the next year as far as our product plan of record, and our rollouts, and what we're doing vis-à-vis what the industry is doing.
Rohit R. Sahni - Harbor Spring Capital LLC: Got it, great. Thanks.
Operator: Thank you. Our next question comes from the line of Neelay Meda with KLS (37:54). Your line is now open. Your question, please.
Unknown Speaker: Yeah. Thanks for taking my questions. The first one on the DOJ aspect, did you guys already submit all the information and do you guys think there's going to be additional questions asked from them or additional information questions, I guess?
William C. Stone - Chairman & Chief Executive Officer: Well, we just sent a press release out that the DOJ has just sent us a list of questions.
Unknown Speaker: Got it.
William C. Stone - Chairman & Chief Executive Officer: That is the called the second request. And so we are now, right, gathering the troops to gather the information for the DOJ's second request. But we, hopefully, will have all of that put together as promptly as we can and submit it to the DOJ and I'm certain Advent is doing the same thing and then we'll hopefully satisfy them with the answers to their questions. But then we would hope there wouldn't be more requests. But they're in charge, we're not in charge.
Unknown Speaker: Right. Have you sort of gotten these requests in prior M&A that you've done, and has there has been more follow-ups from them, by any chance?
William C. Stone - Chairman & Chief Executive Officer: We have not.
Unknown Speaker: Okay.
William C. Stone - Chairman & Chief Executive Officer: I look at Comcast.
Unknown Speaker: Right. And then relatedly, is there any given what's happening here or not, is there any sort of contemplation to changing the financing structure for Advent, or it's still going to be as you planned it earlier?
William C. Stone - Chairman & Chief Executive Officer: We would always like to make it cheaper if it's possible, but right now we think we have pretty favorable terms and right now we don't contemplate much of a change to the structure. So we're optimistic about that and – is that what you'd say as well, Patrick?
Patrick J. Pedonti - Senior Vice President, Chief Financial Officer: Yeah, that's right. We expect the structure still to be pretty similar to what we announced before.
Unknown Speaker: Got it. Okay. That's it for me. Thank you.
Operator: Thank you. Our next question comes from the line of Peter Heckmann with Avondale. Your line is now open. Your question, please.
Peter J. Heckmann - Avondale Partners LLC: Good afternoon, everyone. My question primarily for Rahul, just looking at AUA, can you give us an update on AUA balances and then maybe how the mix has shifted if at all over the last couple of quarters? I think like you had a little bit more strength in private equity and fund of funds, and then if you could comment on the AUA on a regional basis if you're seeing any particular strength regionally?
Rahul Kanwar - Senior Vice President & Managing Director, Alternative Assets, SS&C Technologies Holdings, Inc.: Sure. So as of 3/31 and we're still compiling this, but our estimate as of right now is $645 billion. Towards the end of last year we did see some additional strength in private equity assets and fund of fund assets, and I think in Q1 it's probably gone back to being pretty pro rata between the hedge funds being the biggest part of our business and probably the biggest lift followed by private equity and then fund of funds. Regionally, we continue to be very strong in the U.S., and we're starting to see some additional momentum in Europe.
Peter J. Heckmann - Avondale Partners LLC: Just could you comment real quickly on the competitive environment, do you find that there are any administrators, particularly below the stated top 20 that are becoming more competitive or have kind of figured out another niche where they can grow or would you say the competitive environment is largely the same where the primary ones you're competing with are those in the top 10?
Rahul Kanwar - Senior Vice President & Managing Director, Alternative Assets, SS&C Technologies Holdings, Inc.: Yeah – no, we haven't seen it. If anything it's probably going a little bit in the other direction. I think that as funds seek to raise capital, they want the quality institutional providers and so it stayed largely the same.
Peter J. Heckmann - Avondale Partners LLC: Appreciate it.
Operator: All righty. Thank you. And our next question comes from the line of Vignesh Murali with Sidoti & Company. Your line is now open. Your question, please.
Vignesh Murali - Sidoti & Co. LLC: Great. Hi, guys. My first question is, can you provide a brief overview of the hybrid funds business, and what kind of cross-selling opportunities are you seeing due to this business?
William C. Stone - Chairman & Chief Executive Officer: Rahul, why don't you take that?
Rahul Kanwar - Senior Vice President & Managing Director, Alternative Assets, SS&C Technologies Holdings, Inc.: Okay, sure. So think just very quickly, the way we define it is funds that have some combination of hedge and private equity characteristics. So that's a pretty big universe. It includes big asset managers that have both hedge funds and private equity funds and also include folks that invest in asset types that lend themselves to some kind of comingling. So, for example, les liquid fixed income, which would traditionally be a hedge fund asset done in a private equity form, where people get paid out as cash is realized. And so we think there's a tremendous opportunity. We also think we're pretty unique in the sense that we've always done these kinds of funds and we focused on automation as it relates to these kinds of funds, so bringing together one service team that's able to service the client regardless of whether we're talking about a hedge fund item or a private equity item, we think is pretty compelling. And there's a number of opportunities in the pipeline.
Vignesh Murali - Sidoti & Co. LLC: >: Great, thank you. And my second question is, are these acquisitions playing a role in your renewal activity at all?
William C. Stone - Chairman & Chief Executive Officer: I'm sorry, can you repeat that for me?
Vignesh Murali - Sidoti & Co. LLC: Sure, sorry. The acquisitions of DST and the potential acquisition of Advent playing a role in your renewal activity of like software licenses as well as your software services business?
William C. Stone - Chairman & Chief Executive Officer: I really don't think it has impacted it at all. I think that we get a lot of press when this happens and people get to know us that didn't know us before, and sometimes we have to approach the sales force to still go close, but I think once they get a little bit comfortable, I don't think it makes much difference at all. Norm, have you seen any?
Normand A. Boulanger - President, Chief Operating Officer & Director: Nothing in particular, Bill, but I can tell you just of my experience over the years on our acquisitions is people kind of focus on the negative of an acquisition, but there's lots of positives, right. So, people are going to see our investment in hosting solutions and outsourcing solutions in an organization that may have been considering whether as to continue to be a license client only now has options. So, I think it works just as well as the other way, where I think it potentially gives us a benefit, gives our customers a benefit that the acquisition gives them a lot more options than they used to have. But in terms of number of deals and impacting the financial statement, nothing material to speak of.
Vignesh Murali - Sidoti & Co. LLC: Great. Thank you, guys. That's helpful. That's it for me.
Operator: Thank you. And I'm showing no further questions in the queue at this time. I would like to turn the call over to Mr. Bill Stone for any final remarks.
William C. Stone - Chairman & Chief Executive Officer: Thanks, Roland, and thanks everybody for being on the call. Again, SS&C continues to execute and that's what we're going to go work on today for the rest of the second quarter. We look forward to talking to you in July or early August. Thanks.